Operator: Welcome to the Societe Generale Conference Call. Mr. Slawomir Krupa, Chief Executive Officer; and Mr. Leopoldo Alvear, Chief Financial Officer, will present the group's third quarter and nine months 2025 results. [Operator Instructions] Ladies and gentlemen, welcome to the Societe Generale Conference Call. Gentlemen, please go ahead.
Slawomir Krupa: Good morning, everyone. Welcome to our nine-month 2025 financial results presentation. I am pleased you could join us today. In line with previous quarters, we are once again achieving a solid performance. The financial indicators remain above our annual financial targets. Our quarterly and nine-month revenues have grown significantly compared to last year. This is happening while we continue to demonstrate discipline with regards to RWA organic growth, strict cost control and risk management. Over the first nine months of the year, revenues were up by 6.7% compared to last year, reaching EUR 20.5 billion at the end of September, excluding asset disposals. This highlights the strength and relevance of our commercial franchises and validates our strategic decision to be a more compact and synergistic group that focuses on its strengths. At the same time, we remain committed to reducing our cost base in a structural and sustainable manner. Costs are down by more than 2% for the first nine months of the year, excluding asset disposals versus nine months '24. The result, very strong positive jaws and the cost-to-income ratio of 63.3% over the first nine months of the year. That's better than our 2025 target of below 65%. In terms of credit risk, for the first nine months, the cost of risk remains in line with our guidance at 25 basis points. Asset quality remains sound as we continue to navigate the macro environment. Overall, the group net income reached EUR 4.6 billion in nine months ' 25 and a group return on tangible equity of 10.5%. That represents an increase by 3.4 percentage points versus nine months '24, and it puts us well on track to meet our 2025 target of a ROTE around 9%. These solid earnings contribute to the further strengthening of our capital position. The CET1 ratio is up by 20 basis points this quarter despite a slight increase in organic RWA. And ultimately, the CET1 ratio stands at 13.7% at the end of September 2025. As mentioned last quarter, it takes into account the EUR 1 billion additional share buyback program, which was completed this month. This performance keeps us above the updated targets we set for 2025. It marks another step in the right direction, but our goal is to do better, and we will. Making the bank even stronger will require continued focus, perseverance and determination. A little more than two years ago, we held our CMD. And since then, we have made tangible progress. First and foremost, the bank has a much stronger capital base. This is a cornerstone of our strategic road map to ensure greater stability amid the inherent fluctuations of the macro environment. And with a CET1 ratio of 13.7% in the Basel IV regulatory environment, the group is well above its target of 13%. This allows us to successfully pursue our dual ambitions of supporting our sustainable growth and providing additional returns to shareholders. With regards to operational efficiency, there is certainly more to do. But to date, the group has already significantly improved its operating leverage. That is reflected in the sharp drop in the cost-to-income ratio, which improved from more than 70% on average over the five years before the CMD to 63.3% over the first nine months of 2025. Again, this is primarily the result of our relentless and successful execution of our cost-saving initiatives across all businesses. This is also the result of the solid and improving commercial performance of our core businesses. Consequently, the group significantly increased its profitability, its ROTE, which almost doubled despite a higher denominator as it rose from 5.8% on average over the 2018-2022 period to 10.5% in nine months '25. Coupled with the implementation of share buyback programs, which have been increasing for two years, this has resulted in a substantial boost in EPS. When you compare the nine months 2025 with the average nine-month period during the five years preceding the CMD, that EPS rose almost 180%. Increasing profitability in a sustainable manner and ensuring greater value creation for shareholders are at the heart of our commitments. In this, we are at the beginning of a rewarding journey. There is still a lot to do to get where we want to be, but real tangible results have pointed us in the right direction. Now let me hand over to Leo, who is going to take you through our Q3 '25 performance.
Leopoldo Alvear: Thank you, Slawomir, and good morning, everyone. As usual, let's now dig into the financial performance for the third quarter. The group results once again are a very solid set of results this quarter with a group net income of EUR 1.5 billion, second highest third quarter since 2006, leading to a quarterly return on tangible equity at 10.7% versus 9.6% in the same quarter last year. This excellent performance is the result of sustained strong commercial activity, which led to another solid increase in revenues, combined with continued strict cost discipline, leading to a strong positive jaw evolution. In details, revenues were up by 3% versus Q3 '24, excluding disposals, and even by 7.7% when excluding also the circa EUR 300 million exceptional income booked in Q3 '24 to close out our past presence in Russia. At the same time, costs continue to decrease in absolute terms and are down by 1.1%, excluding asset disposals, demonstrating our ongoing strict cost discipline. This consequently translates into further improvement in operational leverage with a cost-to-income ratio of 61% in Q3 '25 versus 63.3% in Q3 '24 and below our annual target of 65%. Regarding asset quality, the cost of risk remains contained at 26 basis points and within the lower range of our annual guidance. We've also made further progress in streamlining our business portfolio with the closing of the disposals in Guinea Conakry and in Mauritania. Let's now move to Slide 7 to go through the revenue bridge, which you may now be familiar with. Excluding asset disposals for comparison purposes, which generated around EUR 400 million of NBI in Q3 '24, group revenues increased by 3% in Q3 '25 compared with last year. And as I just mentioned, by 7.7% if we were also to restate the exceptional income recorded last year in the Corporate Center in connection with the closeout of our Romanian exposure in Russia. As illustrated in the chart, all businesses contributed positively to this solid increase. French Retail, Private Banking and Insurance, the revenues grew by 4.5% in Q3 '25 versus Q3 '24, excluding disposals. The rise is mostly driven by both NII and insurance revenues, which are up by 4.7% and 6.9%, respectively. On Global Banking and Investor Solutions, revenues increased by 1.6% compared to a very strong Q3 '24, thus consolidating a high revenue base around EUR 2.5 billion this quarter, thanks to solid performance in FICC and Financing and Advisory. The commercial performance of the businesses within Mobility, International Retail Banking and Financial Services are also strong with a 9.1% increase in revenues in Q3 '24, excluding asset disposals. Finally, if we include the exceptional -- exclude the exceptional income of EUR 287 million related to the exit of Russia, revenues at Corporate Center increased by EUR 175 million, mainly due to sound and improved liquidity management. On the cost front, on Slide 8, we can see that operating expenses fell further in Q3 compared with last year, not only at group level, but also across all pillars. It perfectly illustrates how the new cost policy launched since the CMD has spread throughout the bank. Overall, on a year-on-year basis, costs are down by 1.1% this quarter, excluding disposals and by 6.2% on a reported basis. Similarly, the cost-to-income ratio declined further in the third quarter compared with last year as did the ratios for all the pillars. The group cost-to-income ratio landed at 61% in Q3, a level well below the annual target. After the first nine months of '25, the group reports a cost-to-income ratio of 63%, which makes us very confident in our ability to achieve our 2025 adjusted target for a cost-to-income ratio below 65%. Let's now have a look at the asset quality evolution on Slide 9. The cost of risk stands at 26 basis points this quarter and 25 for the first nine months of 2025. In both cases, in the lower range of our annual guidance. This quarter's cost of risk mainly comprises Stage 3 provisions. which accounts for EUR 437 million, with notably a transfer of provisions from Stage 2 to Stage 3, which contribute to a net reversal of EUR 68 million in S1 and S2 provisions. On the later, total outstanding Stage 1 and Stage 2 provisions remain high at EUR 2.9 billion or 2x 2024's cost of risk. Asset quality remains robust as illustrated by the NPL ratio at 2.77%, stable from the last quarter. It is important to highlight that the group has not -- is not exposed to the recent U.S. defaulted companies, which made the headlines, and we have a negligible exposure to U.S. regional banks. Finally, the net coverage ratio remains high at 82% in Q3, up 1 percentage point from Q2 '25. Let's now turn on to capital on Slide 10. Thanks to very strong earnings, which contributed with 18 basis points in Q3 after accruing 50% payout, the CET1 ratio of the group increased further to reach 13.7% at the end of September '25 versus 13.5% at the end of June, which represents a level around 340 basis points above MDA. The other moving parts have a global minimal net impact of 3 basis points and are split between, on the one hand, a positive impact of 7 basis points related to the group employee share ownership as stated in a dedicated press release published on 24 July, and on the other, limited negative impacts related to the RWA variation for around 5 basis points and some regulatory impacts for 4 basis points, which come after a positive contribution of 8 basis points on that topic in Q2 '25, while other items have a limited 1 basis point net impact this quarter. Last, as you can see at the bottom right-hand side of the slide, all the other capital ratios remain comfortably above the regulatory requirements. On Slide 11, we can see that liquidity reserves remained high at EUR 328 billion, with a relatively balanced mix between cash and securities. Regarding the liquidity profile of the group, we maintained a strong liquidity ratios with an LCR at 147% this quarter and an NSFR ratio of 117%, which in both cases, represent a buffer around EUR 90 billion. We completed the 2025 long-term funding program in Q3 on very competitive terms and have even begun the prefunding of '26 program with a new senior nonpreferred debt in U.S. dollars successfully issued in September. Access to liquidity remains very good in our currencies and the deposit base remains strong, granular and highly diversified, having grown by EUR 10 billion in the quarter. Overall, the loan-to-depo ratio stands at 75% at group level. In Slide 12, we show a summary of the P&L for the group for Q3, which we will cover in more detail in the following slides. So let's move now to business performances on Slide 14, starting as usual with SocGen Network, Private Banking and Insurance. In Q3 '25, loans outstanding increased by 1% compared to last year, with both retail and corporate loans growing, excluding for the later state guaranteed loans, PGEs. Home loan production continues to increase strongly this quarter by 74% versus Q3 '24. Volumes of deposits are down by 5% versus last year or by 2% versus Q2 '25 in the context of continued strong growth of retail savings and investment products, which are off-balance sheet products and contribute to the continued strong momentum in asset gathering. As we can see on one side, AUMs in private banking increased by 7% versus Q3 '24 if we adjust for disposals and reached EUR 135 billion at the end of September, EUR 3 billion more than at the end of June '25. On the other side, life insurance outstandings reached EUR 153 billion, increasing by 6% versus Q3 '24 and representing EUR 3 more billion than in June '25, thanks to continued strong net inflows. Moving on to BoursoBank. As highlighted last quarter, thanks to a sustained growth pace of acquisition over the last two years, BoursoBank has reached its CMD target of 8 million clients, nearly 18 months ahead of its initial objective. In Q3, BoursoBank gained nearly 400,000 new clients. Since Q3 '24, it represents an increase of 1.5 million clients or 22% with a consistently low churn rate below 4%. Assets under administration continued to grow steadily. They reached EUR 76 billion at the end of September or circa EUR 10,000 per client, which represents an 18% increase versus Q3 '24, thanks in particular to the continued strong increase in deposits of 17% versus Q3 '24. Similarly, life insurance outstanding increased by 11% versus Q3 '24, with net inflows 4x higher than in Q3 '24, while market orders grew by 38% compared to last year. On the lending side, total loans outstanding are 8% up versus Q3 '24. Looking at the whole pillar on Slide 16. We can see that net income lands at EUR 439 million for this third quarter or 18% higher than in Q3 '24, with a RONE close to 10% under Basel IV requirements, which compares to an 8.2% last year under the previous Basel III standards. This is driven by, on the one hand, a solid increase in revenues by 4.5% versus Q3 '24, excluding disposals, largely linked to a 4.7% increase in NII despite the absence this quarter of positive base effect impact related to short-term hedges. And on the other hand, cost improvement. This is a decrease of minus 0.3% of operating expenses compared to Q3 '24, excluding disposals. Both movements lead to a cost-to-income ratio of 65.7% in Q3 versus 70.1% in Q3 '24. On the asset side, cost of risk lands at 33 basis points in Q3 '25. Let's move now to Global Markets and Investor Services on Slide 17. Starting with Global Markets. Market activities continue to generate a high level of revenues, above EUR 1.4 billion during this quarter. They are up by 0.5% in Q3 '25 versus an already very strong Q3 '24 despite unfavorable FX impact and one-day accounting base effects. Note that restated from this day one P&L impact, Global Markets revenues would have grown by double digit. The increase in reported revenues was mostly driven this quarter by our FICC platform, whose performance improved by 12% versus last year, thanks in particular to strong momentum in derivatives and financing with growing activity in FX and rates. With regards to equity activities, revenues remained high at EUR 824 million in Q3 '25. Year-on-year comparisons show a 7% decrease due to both a very strong basis for comparison, where Q3 '24 was the highest third quarter in 16 years in this activity and the aforementioned FX and day one accounting impacts. In Securities Services, revenues eased by minus 1% versus Q3 '24 as a result of a decrease in interest rate despite steady commercial momentum in the quarter in SGSS. Let's turn now to Slide 18 to comment on the evolution of our financing and advisory platform. which performed very well in Q3 '25 with a 4.2% increase in revenues versus the same period last year. This strong outcome is driven by a solid growth in Global Banking and Advisory by nearly 7% versus Q3 '24, thanks in particular to both solid performance of financing activities overall with continued strong momentum in terms of origination and distribution. In addition, our DCM and ECM platforms benefited from solid dynamics in the market. With regards to transaction banking services, revenues slightly declined by 2.5% in Q3 versus Q3 '24 due to lower rates, which masked the good overall commercial performance illustrated by the continued increase in deposits. So overall, GBIS delivers another solid performance as illustrated on Slide 19, with revenues reaching EUR 2.5 billion in Q3 '25, up 1.6% versus a very high Q3 '24, making this quarter the best Q3 for GBIS since 2009. We continue to drive costs down with expenses decreasing by 0.8% in the quarter, and the cost-to-income ratio declined 1.5 percentage points from 61.5% in Q3 '24 to 60% in Q3 '25, while the cost of risk remained moderate at 13 basis points this quarter. As a result, GBIS posted a net income of EUR 734 million in Q3 '25, translating into a high RONE of 17.4% under Basel IV. Moving on to the International Retail Banking on Slide 20. We can see that both Europe and Africa posted good performance this quarter, with revenues up by 4.6% compared to Q3 '24 at constant exchange rate and perimeter. In Europe, loans are up by 6% and deposits by 2% versus Q3 '24 at constant exchange rate and perimeter. While revenues increased by 4% versus the same quarter last year at constant exchange rate and perimeter, supported by higher net interest income in both KB and BRD. In Africa, loans are resilient with a slight decrease of 1% versus last year at constant exchange rate and perimeter, while deposits continue to increase by 4% in Q3 '25 versus Q3 '24. When we look at revenues, they increased strongly this quarter by 5% at constant exchange rate and perimeter, largely driven by a solid level of fees across most regions. Turning now to Mobility Financial Services. The combined business posted another strong increase in revenues this quarter by 12.4% at constant exchange rate and perimeter. Ayvens revenues contribution to SocGen is increasing by 13.2% versus Q3 '24, benefiting from positive base effect related to depreciation adjustments and nonrecurring items. When adjusted for those inspects, revenues are stable with two opposite trends largely anticipated. First, a continued increase in margin, which reaches 593 basis points in Q3 versus 521 in Q3 '24, which is basically driven by the strategy implemented that comprises this quarter some nonrecurrent elements. On the contrary, as expected and guided, an ongoing normalization of used car sales results per unit at EUR 1,100 this quarter versus EUR 1,420 in Q3 '24. Together with a tight monitoring of costs, the cost to income improved strongly this quarter to 53%, excluding UCS and nonrecurring items versus 63% in Q3 '24. Finally, regarding Consumer Finance, business delivered a good quarter with revenues up by 6.6% versus Q3 '24, still benefiting from margin expansion, mainly in France. So in terms of the overall financial performance of the pillar on Slide 22, we see very strong positive jaws again this quarter, thanks to a solid increase in revenues of 8.7% on one hand, while on the other, a decrease in cost by 3.9% in Q3 '25 versus Q3 '24, both at constant perimeter and exchange rate. And this is notably driven by mobility and Financial Services. The cost of risk is also down at 37 basis points in the quarter versus 48 in Q3 '24. Overall, the whole pillar posted a net income of EUR 393 million, up 19.2% versus Q3 '24, adjusting for the perimeter and exchange rates. Finally, the RONE improved by 1.7 percentage points versus last year and reached 14.9% under Basel IV in Q3 '25. To conclude with the quarterly results, let's move now to Slide 23 with Corporate Center. Year-on-year revenues are down by circa EUR 100 million due to the base effect linked to the circa EUR 300 million of exceptional income accounted in Q3 '24 related to the closing of the remaining exposure that we had in Russia. Excluding this one-off, revenues continued to improve this quarter, thanks to continued efficient liquidity management. In addition, the closing of the sale of our subsidiary in Guinea Conakry generated a positive impact accounted in net profit or losses from other assets. Let me now give back the floor to Slawomir.
Slawomir Krupa: Thank you, Leo. As you can see, despite the shifting landscape, we continue to deliver on the commitments the group has made in regards to our sustainability road map. We are progressing well towards our targets in terms of financing the energy transition, and we continue to demonstrate our pioneering spirit with bold and innovative transactions. We are also driving sustainable finance through partnerships, deepening our collaboration with the IFC, for instance, and developing new collaborations with other multilateral organizations. In conclusion, our objectives are clear and our progress is measurable. We continuously assess both in order to keep our momentum going so we can achieve our goals. We remain firmly on track, and our determination is unwavering, and we are fully committed to ensuring success. Thank you very much. And let's now start the Q&A with our usual polite request to stick to two questions per person. The floor is yours.
Operator: [Operator Instructions] The first question is from Tarik El Mejjad of Bank of America.
Tarik El Mejjad: Two on capital, please. I mean, congrats first on this strong print again. But my question, and I think one missing part, I would say, in this print to me at least, was potentially managing more your excess capital through distribution and buybacks. So I think I have a very simple question here. Did you -- and can you share with us if you actually asked for it and didn't get the answer in time? Because you repeated many, many times that there's no point to build buffers on buffers and now it's literally you're talking 2.5 years of organic generation of buffer. So can you share with us more color. And then I'm sure you've seen the news and share price action that the [ Barnier ] has managed to pass an amendment in the parliament on this discussion on budget on the income side, taxing from 8% to 33%, and most importantly, increasing the scope to share price or acquisition price rather than the nominal value. So, in this context, I know it's early, so -- but just maybe you can share your thoughts. In this context, would you see better value in using excess capital for buyback minorities of Ayvens or maybe you can accelerate distribution before these things go through?
Slawomir Krupa: Thank you, Tarik. So on the buyback, let's try and be very, very clear. So one, you know the framework. The framework is indeed, one, no intention to accumulate excess capital. Two, when considering excess capital, considering organic growth at high marginal rates of return, inorganic growth if and when it makes sense with a very conservative approach to execution risk and expected returns and return to shareholders preferably right now because of the math, still favorable to the buyback in the form of buybacks. So that's the framework. I'm repeating it so that it's very clear. Second statement, we have been having this conversation for a while, so to speak. And I think we have been strategically predictable from this perspective. And so you should expect us to remain predictable from this perspective. Now equally at the bank conference recently, I said that buybacks and these decisions because of various factors are not necessarily quarterly processes. And finally, I would point to the fact that this quarter, we are announcing a buyback at the Ayvens level, right? This is the -- these are the parameters of what I can say. Now in terms of the amendment that you're referring to, so for us, our understanding at this point is that it's not intended to be on the value, but indeed on the nominal. But more importantly, I would not want to comment on tax too much, especially on the race that we do observe these past few weeks and days even in the parliamentary debate. That's not my job, not my role. Obviously, if and when things are stabilized and become law, we will adjust our thinking, and you should expect us to be the most rational players out there in terms of dealing with whatever the framework is. But again, right, I would not be at this point, focusing too much on the race that you can see in terms of proposals that you can see like literally every night in France today. Let's take a step back. France has a history of being overall, overall the rational jurisdiction where, as you can see, even this year, companies are able to go through the instability, go through some of the news flow and continue to do their job, and I expect the jurisdiction to overall remain similar in the years to come.
Operator: The next question is from Flora Bocahut of Barclays.
Flora Benhakoun Bocahut: I wanted to ask you a first question on the cost of risk in French Retail Banking. It picked up slightly this quarter. So maybe if you could elaborate if it's a single file, it's coming from several. Is it the sign of the beginning of a slight deterioration there? And then the second question is on the equities revenues. You mentioned in the slide pack, the negative impact from the day one P&L year-on-year. Was that very concentrated on Q3 last year and therefore, unlikely to be a drag from here? Or is there potentially a bit more drag year-on-year coming from that in the coming quarters?
Slawomir Krupa: Thank you. Hi, Flora. So, CNR, net cost of risk -- NCR, sorry, net cost of risk in French retail. So it fairly stable in the retail individual client part at a reasonably low level, nothing very material happening there. And indeed, you have an increase in the SME segment with basically no big files, no one-offs, but more something which is in line with what you may have seen as a market feature with the increase with the bankruptcy rate in France. So this is the explanation. It remains contained. As you can see, the cost of risk is still low. But indeed, this is the dynamic that we've seen in Q3. And we don't expect today any material deterioration at this point in time in the coming quarters, but there is a slight increase in bankruptcy rates in France. So, in terms of the equities and the specific day one question, which indeed is the most of the explanation for the performance of equities this quarter. It's very simple. It was concentrated -- the positive impact was concentrated last year on Q3. And this year, it's a drag, which -- the absence of which would have resulted in a growth of double digit of the market revenues. So you can see it's a substantial feature, which is a positive one because, as you know, a negative impact of day one is the sign of a very strong production, right, of a very strong origination in terms of commercial activity. But indeed, it is a drag. Now today, it's dependent on market conditions. But today, there is no reason to believe that it will remain the same constant in the coming quarters. At this point in time, it's more of a Q3 phenomenon.
Operator: The next question is from Jason Napier of UBS.
Jason Napier: The first one, BoursoBank has turned in another really strong quarter for customer acquisitions. There's some concern amongst investors that when a good thing is going so well that you might choose to extend the investment in customer acquisitions substantially further than might have been expected. Perhaps in simple terms, could you just talk about what we should be thinking in terms of fee income -- net fee income uplift next year and the year after as you presumably do start to invest less in customer acquisition offers? And then secondly, congrats on another quarter of very widespread beats on the cost line. I wonder whether you could talk a little bit about whether you have any sense as to what a more modern SocGen cost/income ratio might look like. We've just come off another company call talking about real hope that AI might substantially change the efficiency of modern banks. I just wonder whether you could talk about where you see the sort of medium-term cost income for the group.
Slawomir Krupa: Thank you. Thank you very much. So, on BoursoBank first, we have committed to delivering EUR 300 million of bottom line in BoursoBank in 2026. And we will deliver a bottom line of EUR 300 million at least in BoursoBank in 2026. And it is one of the drivers, one of the main drivers of actually reaching another very important objective, which is the 60% cost-to-income ratio at French retail banking. So, from this perspective, again, you should expect us to be predictable and to stick to our commitments. And to your point, it will be achieved by a different balance, right, a different balance in terms of customer acquisition costs both in volume and in value because we also are working hard to deliver growth at a lower cost. And as you know, because we've spoken about this in the past, we had projected a GOI investment, a negative GOI throughout the plan to reach BoursoBank's Bank's objectives in terms of customer acquisition of minus EUR 150 million. The reality is that we have executed the plan and actually more than executed the plan with largely positive contribution from BoursoBank. So working on volumes, working on cost of the customer acquisition is what's going to help us achieve the objective, still generating growth, but again, with a different balance so that we can deliver on our commitments. In terms of the cost line, I mean, I'm not going to go beyond in terms of guidance here beyond what we have for 2026, which is, as you know, a 60% target -- below 60% target for the group and for French retail. But I can tell you two things, right, before moving to AI is that we are, and you see this quarter after quarter, working very diligently, and we are very focused on continuing to improve our efficiency, right? We recognize that there's substantial room to do better. I said in the past that I don't see any reason, any philosophical or otherwise reason for SocGen not to be delivering something which a comparable business model and jurisdiction, but something that would be much closer, if not within the best average performance of the European banks, again, adjusted for business mix and jurisdiction, but which clearly points to something in the next cycle that would be, well, significantly lower than 60%. I'm not saying anything that you wouldn't expect here, but that's how we're thinking. Then the AI piece, I think it's an absolutely critical topic for anyone really, but for banks indeed because of the nature of our business where you do have a lot of processes and technology, which resembles to some extent, a big factory where you would expect naturally significant improvements in efficiency and in the cost base linked to AI. I think what we need to recognize is that in our heavily regulated environment, the pace of final implementation at scale of these tools will be a process, right? You know how demanding the regulators and supervisors are in terms of model validation. You can imagine that for something processing sensitive data and processes in a highly regulated banking environment, you will have expectations in terms of the quality of the modeling underpinning the AI solutions. So it will happen. It will happen at scale, and it will continue to drive substantially the costs down and actually the client satisfaction and the quality of service and actually maybe quality of risk management up, but it's something which will be taking some time, in my view, to be really at scale and widely adopted within the banks.
Operator: The next question is from Giulia Miotto of Morgan Stanley.
Giulia Miotto: I have two. The first one is a follow-up on the capital distribution point. Some banks are doing buybacks twice a year, and some banks just do a large one in Q4, for example. So how should we think about the cadence of your buyback? Should we think that come Q4, you most likely distribute everything down to 13% or close to that? Or would you keep something for the second half of the year? And then secondly, HSBC took a provision on some tax -- withholding tax trading issues related to France. I'm wondering if there is any read across for SocGen or if you have any comments here?
Slawomir Krupa: So, on the first point, it is true that as much as we had already in place the normal distribution, annual distribution buyback part of this policy. It's true that we executed our first additional share buyback this year. And so we're in the, let's say, the beginning of a process, which will eventually have some regularity depending on the performance, et cetera, and the excess capital position. But indeed, the way we think about it is that we do have the annual distribution as part of the Q4 -- and during the year, depending on the position, at this point, it's more position driven, right, and taking into account all the processes that are involved in potential additional distribution, we follow this pace, if you will, right? I hope that, that's clearer than the usual Fed chair explanation, but this is where we are.
Giulia Miotto: But, sorry, so just to follow up to make sure I understand. Of course, you have a 50% payout half-half the buyback. So we all expect that in Q4. But I think it will be rational to expect an additional one given the excess capital starting point. Is that not a realistic expectation for Q4?
Leopoldo Alvear: I mean I don't want to comment on the expectation, but I'm going to comment on something else you said, would it be rational? Yes, it would be rational. Question on the tax side for -- with the competitor that you mentioned. Of course, I don't know much about that rumor, and we don't comment specifically on the situations. All I can tell you is that we have not booked anything nor are planning in the short term to book anything on this topic at SocGen Ten.
Operator: The next question is from Jeremy Sigee of BNP Paribas Exane.
Jeremy Sigee: A couple of follow-ups on topics that have already been touched on. Firstly, I just wanted to check, you're not changing your full year '25 guidance, but you're obviously way ahead at the nine-month stage. I just wanted to check that you're not flagging deterioration or adjustment back down again in Q4. We shouldn't interpret anything from that. Is that a fair thing to say? And then second question, just you mentioned, obviously, we've seen the Ayvens share buyback. I just wondered how you position in relation to that. I can't see whether you've said that you're going to participate in the buyback or whether this is an opportunity to adjust your own shareholding in Ayvens.
Slawomir Krupa: Hi. Thank you. So, on the first question, an important question. I'll be very clear is to be interpreted exactly the way you said it. So there's absolutely no message regarding the Q4. It's a process thing whereby we do not update our annual targets every quarter. And we do confirm, and we said it very clearly that we are above -- well above our full year 2025 target and that you should infer from this that in normal market conditions, which is our base case expectations at this point, we will, of course, outperform the target, right, just mathematically. One only nuance, which we have discussed in the past is -- you should, in normal business circumstances, expect the Q4 to have a run rate slightly different from the average of the year because of usually, right, the seasonality of costs with all kinds of true-ups that happen in Q4 and also with sometimes a slightly softer revenue generation, especially in the CIB. But apart from this totally business as usual phenomenon, yes, clearly, if you do simple math and assuming normal market conditions, we would outperform the targets. In terms of the stake in Ayvens, post share buyback, we're going to move from roughly 53% to 55% of ownership. And this is the only thing that's going to happen. We're very happy with this position. We have full control. We work hard on making this asset, and you can see the improvement, including this quarter, making this asset as profitable and as strong as possible, and we're happy with the current situation and with the increase to 55%.
Operator: The next question is from Joseph Dickerson of Jefferies.
Joseph Dickerson: I guess just coming back to the -- I guess, two things. Coming back to the capital distribution question. As I read this amendment, it does look like it's on the -- what they refer to as the valeur de chaque and not the valeur nominale. And I'm wondering if that sticks through the budget process, how would you then think about mediating your capital returns and managing the capital returns because that's clearly less effective. So I guess a thought process on that. And then I can't -- I didn't hear you answer Tarik's question necessarily as to whether or not you'd actually applied for a buyback this time. So I'm confused as to why Ayvens went for one and you didn't in the second quarter. So that's question on capital return. And then more of a fundamental question on the business. Can you just talk about some of your cross-selling potentials in France because you've got life insurance, private banking AUMs at a record high. You've got home loan production up 74% year-on-year. I guess, how can we expect this home loan production to translate through to cross-selling? And how are you benefiting from that today?
Slawomir Krupa: Thank you. So, on the capital distribution, yes, first, you didn't hear my answer to Tarik's question because I didn't answer directly whether we have filed...
Joseph Dickerson: I was being diplomatic.
Slawomir Krupa: Yes. I know. Thank you for that. And simply because, I mean, if I start to comment on what I'm filing or not filing with the ECB, we're filing so many things every week that it would be a difficult process to follow. Listen, again, right, take comfort from some of my other answers. We have been extremely rational and consistent in looking at this. And while going through all the processes involved, and ultimately, by the way, the decision of the Board, but we do intend to remain rational, extremely rational as it pertains to managing the excess capital. And today, risk-adjusted, the SBB is obviously the best option. In terms of the tax thing, again, right, I mean, this just came out. I don't want to comment specifically. If it were to stick, so hypothetically, this was your question. If it were to stick and be really substantial and not on nominal value, therefore, not so substantial, we would simply adjust the maths, right? And again, choosing between organic, inorganic and any inorganic opportunity that we would have. And SBB, we would very rationally, like you would expect us to do, including, of course, like considering the cash distribution as well, we would make rational mathematically sound decisions in terms of how to deal with the excess capital. In terms of the cross-selling opportunity and home loans, you're spot on. I mean, in many jurisdictions, not all of them. But clearly, in France, the home loan is an anchor product, an anchor product because, one, its features, including its long-term fixed rate features usually at competitive rates because of the market dynamics is making the customer stick with you for usually a long time, right? I mean the number is actually in decades. And so it allows you to develop a relationship across the entire offering of the bank, and you pointed that out, our performance, both in terms of the private banking. I'll come back to private banking for a second -- in a second. But in terms of the private banking, but also in terms of all the investment products. And you see that our pace of fundraising in the life insurance investment envelope is extremely high. It's market-leading and is extremely high. Just to give you a sense, it's a pace which is well, well, well above almost double the size of our inventories in the space. So we're doing extremely well there. The Private Bank is doing extremely well. And the private bank is deeply connected with our retail operations. So it's not -- you have obviously an ultra-high net worth team and segment, if you will, but it is also very connected and by connected, some of the teams are actually embedded within the teams of the retail bank so that we can extract structurally on an industrial basis, if you will, the growth in value and the growth in assets that our individual customers experience throughout life. And usually, yes, it started with home loans. So this is exactly the strategy. The only thing I'll add is, nevertheless, you still need to make sure, right, that basically the investments you're making in terms of the home loans are worth it and that you have constantly an investment case that works mathematically. What I'm trying to say here is there have been times in the French market, take, for instance, '22 and '23, where the market was pricing this product because of all kinds of usually rate considerations, but not only eventually the competitive dynamics at a deeply, deeply negative level in terms of margins. So we had retrenched substantially at the time with production rates down 70% because while the logic of the anchor product and the investment in the long-term relationship is a prevailing one in the French market, on the other hand, there are a level of prices, which obviously don't make sense in terms of this investment. So we have been, I think, very nimble and conservative when considering this. But yes, the level of cross-selling is very important within this pillar.
Operator: The next question is from Chris Hallam of Goldman Sachs.
Chris Hallam: Two quick questions, both on equities. First, how far through the build-out of the cash equities platform would you say you are, I guess, for about 18 months or so on from the announcement on Bernstein? And how would you assess the market share opportunity on the one hand there versus the potential for, I guess, increased competitive pressure and capital release on the other? And then the second question, it's a bit of a follow-up to the earlier question on withholding tax. I guess thanks for the clarity there. What would the threshold be for either taking a provision or settling? I guess, how do you see this playing out from your side? And how should we think about the quantum of the outstanding risk?
Slawomir Krupa: Thank you. So, on your first question, we're well advanced now. And we will be closing in '25 our first full year with the caveat, which we discussed in the past in this call, that the U.S. operations are not yet fully integrated. They will be next year. So -- but you're talking about the contribution from Bernstein basically of roughly EUR 200 million already, right? So it's a substantial enhancement to the franchise. And if you see some of our rankings, it has helped us break into the top 10. And if you look at some of what we have been able to achieve in the U.S. market in terms of primary equity, having, for the first time, run a significant bookrunner mandate and which delivered -- I'm not going to comment on with the number, but not insignificant contribution to our primary equity. So let me put it this way. All the assumptions are valid. So in terms of the trading revenues, we are firmly holding at the addition of our respective market shares. The team is happy. The retention level is extremely high, much higher than what we expected. In terms of the research, we are making the forays that we were expecting. And the only disappointment it's not about us. It's about the primary equity market in Europe, which, as you know, has been more than subdued in the last few years. So we're happy, and we will be continuing to investing and with the integration of the U.S. -- full integration of the U.S. platform next year, we'll be making another step in this direction. In terms of the withholding tax, I mean, again, right, I mean, you can't expect me to comment specifically on these kind of files. But my earlier answer was clear. And the way you should think about this is -- let me put it this way, right? If we have the stance, which obviously, as you can imagine, as a matter of process, it is not just a discretionary decision of management, but it goes through all the governance, including the auditors, is that it points to a position that we think we have in this matter.
Operator: The next question comes from Andrew Coombs of Citi.
Andrew Coombs: I think most of my questions have been answered, but perhaps I can do one on French retail and one on international retail. OpEx management, you previously answered about no reason why you can't be comparable to other European banks after adjusting for business mix and jurisdiction. And I think thus far, your cost saves have been pretty broad-based. But from here, the major levers you can pull in French retail? Or do you think it is much broader than that? And I'm thinking more about headcount considering the amount that your branch network has come down by? And then second question on international retail. Are you happy with the perimeter now? And can you just touch upon some of the volume growth you're seeing both in Czech and Romania?
Slawomir Krupa: Thank you. So, on the very last piece, I'll leave the floor to Pierre on the volumes in Czech Republic and Romania, and I'll address all the others. In terms of the -- my comment about jurisdictions is simply -- or business mix is simply to recognize that if somebody has a very pure, for instance, retail banking mix, monoline mix in a jurisdiction that happens at that point in time to benefit from strong dynamics in terms of rates, for instance, while, obviously, you would not be able to compare just the cost to incomes one-for-one between us and that particular player. But on the other hand, I would like you to focus more, if I may, on the fact that this is not an excuse for us not to do our job and to continue to reduce our costs versus the per unit of revenue, of course. But also another way of looking at it per unit of RWA, right? This is another way we're looking at it. And we think that these metrics help level the playing field, so to speak. And we clearly are aiming at continuing to increase substantially our efficiency and to decrease substantially over time our cost to income at the group level, but also at the French retail level, right, we have been improving there substantially, but we're still at 57% in Q3 '25. So you have already a pretty healthy improvement to be expected next year. But even beyond that, we do believe that we can do better, and we are working on ways to operate this business with a lower, lower cost structure as simple as that. I mean, we have been late to the game of efficiency, but we are now fully, fully committed and working on this with a lot of focus. In terms of -- I feel like I'm missing your other question.
Andrew Coombs: I think it was the perimeter of the international....
Slawomir Krupa: Yes, the perimeter of international retail, and then on to Pierre for the volume. On the perimeter, we're -- listen, we're happy in the sense that virtually all our assets, not all of them, but really, really most of them deliver stable performance at a high level of return and are also managed in a very sound manner in terms of risks. Now in the end, what we said about how we're going to manage our portfolio -- business portfolio remains true, right? So we need to make sure constantly that ROE headline is high, that ROE is above cost of equity in a sustainable manner. and some other parameters. I'm not going to list them each time, but I'll add the level of tail risk as well. And from this perspective, if and when we believe that we should be making adjustments, we will continue to make adjustments. But overall, today, the portfolio is delivering a sound average performance. Pierre, on the volumes of KB and BRD?
Pierre Palmieri: Yes. So in terms of volumes at a constant perimeter and change, for KB, we see an increase in loans by 4% and a flat deposit level compared to last year. As far as Romania is concerned, it's a big increase by 13.5% in terms of customer loans and 10% in terms of customer deposits. So this translates into an increase in NBI in both globally in Europe by 6.6% in Romania, again, at constant perimeter and change, 9% in terms of NII and 2.4% in terms of fees. What is important is that BRD is gaining market share. The market share is up 35 bps. As far as KB is concerned, in terms of NBI, the NII is increasing by 1.7% and the fees by 2%.
Operator: The next question is from Delphine Lee of JPMorgan.
Delphine Lee: My first one, sorry to come back on this issue of the tax on buybacks and dividends. Sorry, it's just an important one. So on this topic, would you consider changing a little bit of the mix between buybacks and dividends because it looks like the tax on the dividends could be a bit lower. And how -- so from what you said earlier, I understand that you would reconsider the bit the usage of excess capital. in favor of inorganic, which would be the rational thing to do versus buybacks. So just on the inorganic, I mean, what areas would you kind of focus on? Then my second question is also on some of the proposals that seem to be, I think, discussed today in Parliament and in France around the banking fees, the proposals from the National Rally to kind of like cap fees. So just wondering how much of an impact could that represent for your French retail business?
Slawomir Krupa: Thank you, Delphine. Listen, I mean, again, I need to start with the same introduction. I can't move into the business of commenting on the current -- and you know that, right? I mean country here, it is a political race for headlines, right? So I can't possibly be in the business of commenting a very intense and intensifying competition for headlines by various parties in a very divided parliament in France. Now going back to the substance, I think what matters, and maybe this is the most important message is that whatever happens, you should expect us to be rational, right, so that we would make the calculations that need to be made and then starting off a mathematical reality, compose something which is a convincing hole, if you will, right? So meaning organic growth, organic growth is a good opportunity. Today, on a marginal rate of return, we are able to generate high, high levels of marginal rate of return in various businesses, in particular, in GBIS, in Financing & Advisory, where the commitment of this additional capital comes also with a very high, high level of diversification from a sector perspective, from a client perspective, from a geography perspective. So in a sound way. The real limit there is to do it at a cost to income, which is not deteriorating. And second, it's in terms of risk management, of course, right, because we're not going to pour all the excess capital in organic growth regardless of the environment in which we're working. So it's a balance, right? But it's a rational balance, but organic growth is a substantial opportunity, and you should expect us over time to allocate part of the excess capital to organic growth. Inorganic growth is -- can be an opportunity. But there, you need to really expect us to have a conservative approach in terms of risk return considerations, right? Inorganic growth is an opportunity. We have delivered historically on some. We have failed at others. And clearly, we learned our lessons and execution risk would be always very carefully looked at. And from this perspective, share buybacks, and again, depending on what that hypothetical word might look like, might still be interesting because you need to adjust these returns for the risks taken, right? And obviously, a share buyback and/or a dividend distribution would both carry basically 0 risk to the investors versus the other opportunities. So you should expect us to be very rational, whatever the framework might be. And I am reasonably optimistic about where this whole thing lands. And the framework will be giving us inputs into a rational, mathematically sound reasoning about returns and risk-adjusted returns for our shareholders.
Delphine Lee: And second question is on the banking fees.
Slawomir Krupa: On the banking fees. Yes. So I mean, it's a little bit of the same thing. So I'm not going to say what I said again. Today, one thing I can tell you, for instance, is that the banking fees, if you compare them -- retail banking fees, if you compare the revenue, sorry, to the loan outstanding, it's roughly 2.3% in France versus something which is more 3.6% in EU. So one thing I can tell you is that it's quite easy to make the case that in terms of like the average return on risk, if you will, for a retail bank in France, we are already -- and it's to be expected given the level of competition in the market, we are already lower than the European Union. So, I think, again, my current stance on this is that I do believe that the reason in the country of Descartes will eventually prevail in these discussions. Because I think that eventually, no one, no matter the political color in France today, wants to make the business conditions impractical in France.
Operator: The next question comes from Pierre Chedeville of CIC.
Pierre Chedeville: I promise not to ask the question on tax issues. Maybe a follow-up on two strategic points. Regarding consumer credit, it seems that you are a little bit in the middle of the game in terms of size. Your R is below your cost of equity, your outstanding is a little bit decreasing. But yet, we see that margins are improving in this business. So I wanted to know where do you stand from a strategic point of view with that franchise? Do you want to invest in it and develop you stay still or maybe one day, it could be something to sell? And regarding asset management, we all know that you are concluding negotiation with Amundi. Probably you will not tell exactly where you stand there. But my question is more general. Do you think it would be interesting for you to try to develop a small part of your asset management internally for some specific areas and not depend the vast majority on Amundi. And do you think an evolution could be seen in asset management for you as this is a very profitable activity, which is lacking your global business model?
Slawomir Krupa: Thank you. Thank you very much. On consumer credit, I mean, you almost said it all. The overall condition of this business within our mix is improving after years of challenge, obviously, because of either regulatory aspects, the usually rates and the compression of margins linked to the negative jaws, if you will, between the funding and the allowed authorized maximum rate. Plus, obviously, some of the post-COVID normalization in terms of cost of risk, et cetera, et cetera. So all these dynamics were broadly slowing down this business and lowering its performance to your point. So what are we doing? We're doing what we're doing everywhere, which is we'd like -- and you've seen it at Ayvens, you've seen it in International Banking. You've seen it very much at CIB. To some extent, it's a simple recipe is focus on the quality of the business and more, again, on structural profitability and margins rather than on volumes and focusing on the high-quality, high return on capital, sound risk management, in my view, is always preferable to uncontrolled growth. And that's what you're seeing happening in this business, and it is indeed improving. And for instance, like in terms of NBI, we're up 6.6% with a much, I would say, sounder generation of revenues than maybe in the past. From a strategic perspective, it's a very important business, obviously, in the continuum of value creation within the French retail, and we have a few assets in Europe, which are performing from very well to acceptable. And similar to everything I said about our international network or any business that we have, we will continue to assess them very rigorously and in a very demanding way. And if an asset is not delivering what we should expect in terms of return versus cost of equity or again, quality of its positioning. And if we're not the best shareholder, we will not keep this asset in the long run. It's a commitment on which we have delivered, and we will be continuing to deliver. In terms of the Amundi partnership, well, indeed, I'm not going to break any news here. But it's a strong partnership, a long-standing one, one that works reasonably well for both partners in terms of performance, in terms of revenues, et cetera. So we learn, right, as we mature. And so we are discussing all kinds of things with our partner. But we will clearly make sure that any partnership with anyone is always as balanced as possible between the product quality, the product support, the product performance and of course, the fundamental asset of the client relationship that we bring to the table. Are we going to develop something in terms of proprietary asset management? We are. We are already in terms of some of the high end of our client base is actually serviced by an in-house asset manager. And we do intend to very selectively, exactly the way you implicitly -- you implied in your question, very selectively where it makes most sense with, again, high focus on the returns and the costs, we will be developing this further over time. And the other way of looking at it is in alternative asset management, we are through the Brookfield partnership and through our investments in the transition fund that we have created and funded with our own equity. We do intend, for instance, through these two vehicles to increase our reach in terms of alternative asset management, where we can bring something, again, proprietary to the table and build this on an organic basis.
Operator: The next question is from Alberto Artoni of Intesa Sanpaolo.
Alberto Artoni: Just two questions from my side. The first one is more strategic on the direction of return on tangible equity. I know you have a target for 2026. And -- but some competitors started to look beyond the target that they had given in the past. So I was wondering if you intend to perhaps provide in the future guidance for intermediate targets going forward? And secondly, a more technical thing on FRTB. I think you mentioned in the past that you expect a negative impact of 40 basis points. I was wondering if that is still all true today? And what do you expect with the legislation? I know there are discussion of postponing it, potentially changing it? What is your take on that?
Slawomir Krupa: Thank you. So the direction of travel on ROTE is up. There's no other direction of travel. It's true for what we have been doing and long term, it's true. And it's intrinsically, by the way, linked to all the discussion we've had today about cost and efficiency and cost to income. Of course, we intend to drive the cost down while continuing to grow, right? And you've seen our growth rates, excluding disposals, which are very substantial and very balanced across the businesses. That's exactly what we want to keep on doing, which is delivering as regularly as possible as big positive jaws as we can. And it's not always going to be perfect, but we will focus all our efforts on this. And so indeed, this is how you should look at the direction of travel. Now in terms of actual guidelines and guidances, we will -- we believe that being very transparent with our investor community, with you guys is obviously critical and expected. And so we will be at some point next year, sharing with you our detailed views about the next few years and be able to not only throw a number, right, because throwing a number is one thing, but also explain to you how we think about how we're going to get there and improve our performance and deliver value to all the stakeholders, but to investors in particular. In terms of the FRTB, it's still unchanged estimate that we have, 40 basis points, 2027, if it happens. And for the rest, the impact from the output floors or other, let's say, tail end impact, they are all either 0 for the output floors. That's our assumption today or very, very small and long term. So this is where we are in terms of what's going to happen to FRTB. Again, I'm not in a position to give you a firm answer. But again, I think that in the end, a little bit like the tax discussion in France, I think that in the end, people understand what is a right balance between safety and soundness concerns, which are obviously not only legitimate but important for everybody, for society and competitiveness. And I think there is a balance to be struck. And in that balance, in my view, FRTB, given the nature of regulations here and given what's happening worldwide is likely to be adjusted in my view. But of course, I can't speak for the commission and the other participants in that discussion at this point.
Operator: The next question comes from Sharath Kumar of Deutsche Bank.
Sharath Ramanathan: I have two, please. First, on BoursoBank, very encouraging to see the evolution there. But I wanted to ask you about the risk you see from Revolut and the aggressive pace of client acquisition. Would this entail a continuing pace of higher client acquisition even in 2026? Second one is on equities. Can you quantify the year-on-year growth, excluding the day one accounting adjustments that you had in the prior year period? The lower growth versus peers, is it a mix effect or you not being on the front foot still on organic capital deployment?
Slawomir Krupa: I'm not 100% sure I got the end of your second question. You asked for day one from -- for growth in equities adjusted for day one. Is that what you -- is that your question?
Sharath Ramanathan: Yes, yes. The year-on-year revenue growth if we don't have the accounting adjustments. and how it compares with peers.
Slawomir Krupa: Okay. What was the point about organic growth or organic capital?
Sharath Ramanathan: So, basically, the lower growth in equities franchise, is it to do with the mix effect? Or you not still being on the front foot for organic deployment?
Slawomir Krupa: I understand. All right. So in terms of the BoursoBank and Revolut question, I would say the following, right? First of all, as I said also at the conference recently, when you have a strong, highly competitive new entrants in the market, you have to pay attention. You have to make sure you understand what they're doing, you have to recognize their strength, study them and adjust if needed, right? And so this is how we are treating this market evolution, meaning very seriously. Second comment, we are not exactly in the same business, right? If I oversimplify, they are wide geographically and reasonably shallow in terms of products. We are very focused geographically, it's restreint, but very, very deep in terms of product and in terms of client relationship. Again, as I mentioned in the past, we're talking about EUR 60 billion of assets, EUR 50 billion of deposits. You're talking about a churn with a high level of cross-selling, a churn which is well below 4%. You're talking about basically the best of both worlds, which is like a real universal bank for individuals with a very wide product range across virtually any banking product from the simplest to the most sophisticated one. But you're talking also, again, about the #1 bank in terms of client satisfaction. So, from this perspective, we're talking about different players. But again, we are trying to make sure that we give enough attention to this new entrant. Is that going to affect directly our acquisition policies or whatever? It certainly affects our thinking about this, and we clearly want to make sure that the way we acquire clients, the cost at which we acquire client is optimized and it's my earlier answer. And with the proof point of having actually delivered a higher growth than expected with a much lower cost than expected, it shows you that we are very focused and have been for a while now on making sure that this equation works from a bottom line perspective. But is that going to make us change radically our approach in 2026, in particular? The answer is no. In terms of the day one adjusted performance for equities, I mean, we're not disclosing it like that, but it is -- you have to think about this as high single digit for equities instead of the minus 7%. And for the markets, it's double digit -- I mean, well into the double digit if you took both businesses. In terms of the mix, there is a bit of a mix, yes, you're absolutely right. I mean -- and even the whole day one thing, which is linked to the strength in terms of origination on our structured products platform. So you see that there, we're doing extremely well. And likely gaining significant market share currently. On the flip side, historically, smaller activities on the flow side. We do have a slight mix effect. Remember, there's also a slight FX effect. U.S. banks obviously publish in dollars. We publish in euro. Do the math. We're talking about a 7% or 8% differential quarter-on-quarter and year-on-year versus Q3 '24 and '25. So all these things play a little bit. But the most important one is the day one, which happened to be a very high release last year and this year, the opposite trend. Thank you.
Operator: The final question is from Anke Reingen of RBC.
Anke Reingen: Just two, please. One is on the 13% core Tier 1 ratio. So assuming the tax wouldn't change, how quickly do you think you would want to be at that level? And then just sorry for following up on litigation risk, but hopefully, that's an opportunity for you to comment. I mean, with respect to the recent Sudan litigation for BNP, if you can maybe just talk about your own legal situation, if any claims have been filed or potentially, is it already too late for any claims to be filed?
Slawomir Krupa: Thank you. So, on the first point, the only thing I can say is, again, right, above 13% is excess capital. And then we're not running the ship, if you will, down to 13%. Obviously, there will be always some small technical buffer. You also have temporality, right? If you think about, for instance, hypothetically, asking for SBB authorizations to the supervisor, you have a four months lead time, you build up capital during the quarter, et cetera. So, basically, you will always be a few tens -- tens of basis points above 13%, even if you were to do systematic buybacks on the back of your capital generation. So this is how you should think about this. And then back to everything I said earlier, rational allocation between the various opportunities that we have in terms of using the excess capital. In terms of the litigation, I mean, first of all, of course, I can't comment on something that is not mine. But we -- what I can say is since you're asking, right, we don't have any exposure to Sudan or to the of this type of things. All right. Thank you very much. So thank you very much for your time. I know it's a busy day for you. Good luck with all the work. And I look forward to speaking with you next quarter. Thank you very much. Take care. Bye, bye.
Operator: Ladies and gentlemen, thank you for your participation. You may now disconnect.